Operator: Good morning, ladies and gentlemen and welcome to the Bombardier Second Quarter 2023 Earnings Conference Call. Please be advised that this call is being recorded. At this time, I would like to turn the discussion over to Mr. Francis Richer de La Fleche, Vice President, FP&A and Investor Relations for Bombardier. Please go ahead, Mr. Richer de La Fleche.
Francis Richer de La Fleche: Good morning, everyone and welcome to Bombardier’s earnings call for the second quarter ended June 30, 2023. I wish to remind you that during the course of this call, we may make forward projections or other forward-looking statements regarding future events or the financial performance of the corporation. There are risks that actual events or results may differ materially from these statements. For additional information on forward-looking statements and underlying assumptions, please refer to the MD&A. I am making this cautionary statement on behalf of each speaker on this call. With me today is our President and Chief Executive Officer, Éric Martel; and our Executive Vice President and Chief Financial Officer, Bart Demosky, to review our operations and financial results for the second quarter of 2023. I would now like to turn over the discussion to Éric.
Éric Martel: [Foreign Language] Good morning, everyone and thank you for joining us today. I am delighted to share some key highlights from Bombardier’s busy summer and of course, everything that contributed to a solid second quarter. It was marked by an 8% revenue growth year-over-year and was even better across the board when it comes to profitability. Most importantly, our team has executed to plan. The step change we saw to start the year has carried well into the second quarter, consistently raising the bar on the net income and adjusted EBITDA has been just as important to our leadership team as predictably delivering on the current deliveries ramp up. In terms of the ramp-up itself, Bart will provide more color on how it has factored into our cash consumption. Before that, I will cover how we are managing supply chain to support our 2,000 delivery target through a busy second half of the year. But first, let’s look at what fundamentally contributed to a very solid second quarter. As I mentioned moments ago, profitability has seen a step change. Our adjusted EBITDA grew 37% year-over-year. This double-digit improvement is largely driven by double-digit growth in service activities. Our team is putting big numbers on the board and executing to plan. Services consistently delivering quarters in excess of $400 million revenue, is well in line with our 2025 objectives, but also helping predictably deliver our plan on an annual basis. It is important to note that this growth is largely organic and driven by the footprint expansion we’ve talked about in this forum so many times. I know there’s also been a lot of interest and excitement in our certified pre-owned offering. This is good news for us and a sign of good interest for aircraft across the pre-owned community. However, I do really want to stress that the growth trend of our core services business has been on a steady and predictable curve in terms of both the top and bottom line. Our plan is in full motion to execute that growth and fully operationalize newly expanded facilities with one more large scale inauguration ahead of us in the Middle East. Turning now to deliveries. Again, steady performance to plan. I do want to pause to recognize that the team has achieved this while balancing major initiatives. On the other hand, we need to enter supply chain stability. On the other, we are preparing to begin our move later this quarter into a newly built manufacturing facility for our Global Jet in Ontario at the Toronto Pearson Airport. None of this happened without dedicated effort and focus around having the right strategies at all levels of the team and the same drive to execute the plan. Supply chain will remain a key area of focus for the foreseeable quarters. As you know, our success has been marked by focusing on what we control. In some cases, that has meant broadening it by placing people on-site, deeper upstream or simply integrating components back to Bombardier where it makes sense, as a recent example of this was making the decision to retain electrical RNS activities in our Mexico operations. We smoothly reacquired the business from [indiscernible] and welcomed the team member to Bombardier. When I think about all the strategic operational capabilities we have with aerostructures, subsystem and even raw material in Quebec, for example, I do believe we have a unique leg up on this front when it comes to managing the current landscape, all this to say, inventory buildup for the second half is progressing. As I look at everything we have in work today on the lines, I am very comfortable with our more than 138 total delivery targets. And certainly, we look forward to monetizing our inventories in Q3 and Q4 to reach our greater than $250 million free cash flow objective. Through all of this, we are fully on track to where we expected to be on a book-to-bill and backlog. Backlog and predictability go hand in hand. At $14.9 billion in backlog, we are in good shape as it averages out to around 18 to 24 months depending on the platform. Our book-to-bill is also performing to plan. Maintaining that cruising altitude around one is very encouraging. In fact, we achieved a book-to-bill of 1.1 in the second quarter, bringing up the first half of the year, slightly above 1%. This reflects the steady demand we expected. We are also in a position where demand and our backlog are well diversified by customer type and region. This contributes to overall health and predictability. Certainly, thus recording any cancellation in the second quarter was also a very positive. To maintain this balanced profile and overall operational predictability, we will continue to be proactive in monitoring the market and will stand ready to make a fortune adjustment if needed. This could, for example, include leveraging on flexibility and reconsidering our long-term delivery mix, should we need to capitalize on segments strength as they emerge or edge areas where demand may shift. Having a portfolio with well-positioned product that our proven market performers is what fuels our confidence. Overall, Bombardier has a few key differentiators that further contribute to a long-term balance in our outlook. First, our growing defense business, then fleet customer health and success; and finally, a strengthening Asia-Pacific region where we have put down deep routes. We have invested in our presence in Singapore with the region’s flagship service facility and a second one in Australia. Our sales team is well established and serves customers with a local tailored approach. And most importantly, we are well placed with our product to capture demand stemming from increased line hours year-over-year. If you recall, APAC was slow out of the gate post pandemic. That is now normalizing with year-over-year double-digit growth flight hours. Another area trending positively is demand with large fleet operators. In my opinion, they are the biggest winner of the past 24 to 36 months. Demand for fractional charter or jet card access to aircraft has reached a higher new normal. When you look at our Bombardier aircraft are performing with this customer type, the number are really telling Bombardier’s specific hours across fleet operators are up 51% versus June 2019. And year-over-year hours are 14% up, further highlighting the trend. We are in a very good position to continue serving this market as we have well-established fleets with the biggest brands. We are mutually committed to one another’s success. This was underscored last week when Bombardier and Archer jointly issued the news that they are – they will be planning on doubling down their fleet of challengers. Air share originally entered the super midsized space with a commitment for up 20 challenger in ‘21. Today, they are working through that order, exercising options and entering into a new order for up to 20 more. They are a great recent example of a company that has found a niche with the right product, build a solid customer-centric business model and executed it. In terms of the pipeline, it’s a great advantage to have a flagship product like the Global 7500, performing so well in service. It is simply unmatched when it comes to an aircraft of that size flying so far so smoothly and with a cabin volume. Even when or if competitor enter service, the Global 7500 will continue to do things that others can’t. And right behind it, the Global 8000 is progressing well to be the only 94 large jets on the market with the planned 2025 entry into service just around the corner. We continue to push innovation and flexibility, especially on the defense front. We have been very active over the past months. While we’ve been very vocal about our capabilities to replace maritime patrol planes for Canada, the team has continued to work and deliver global aircraft for programs in the U.S. and Europe. We also launched our first virtual showroom to showcase the breadth of our capabilities ranging from VIP and Medevac transport to fully equip surveillance and patrol. Response has been excellent. We will continue to position Business Jet platform as the ideal solution for countries around the world. These foundational initiative will give us lift through the second half of the year in terms of bookings and revenue. They will also provide a fundamentally evolved business foundations for years to come as we expand our product offering and capabilities. Finally, adding back to our balance sheet and debt management, I am happy to confirm we remain on a solid path. Last time we spoke, I highlighted the rating upgrade from Moody’s. That’s too long after S&P Global Rating also upgraded our company to be with a stable outlook. Now I’d like to turn the call over to Bart to walk you through some more specifics with regards to this quarter’s excellent performance and how we are moving confidently into the second half of 2023. Bart, the floor is yours.
Bart Demosky: Thank you, Eric, and good morning, everyone. This was another solid quarter for Bombardier, one where the significant earnings potential of our business was clearly on display. Our profitability growth has been impressive over the past 2.5 years. And this quarter, our adjusted EBITDA margin reached a new high of 16.4%. To put this into context, when compared to Q2 of last year, our adjusted EBITDA and adjusted EBITDA margins have increased by an impressive 37% and 350 basis points, respectively. And our adjusted net income and EPS were both positive for another consecutive quarter. This quarter also saw us deliver another impressive increase in our aftermarket revenues, which reached a new high of $428 million, surpassing last quarter’s record number and representing a strong 19% year-over-year increase. We continue to meet our delivery objectives and lead the industry in this metric despite the challenging supply chain environment. Aircraft deliveries reached 29 in Q2, up 1 aircraft versus last year. Our order activity resulted in a book-to-bill of 1.1, with no cancellations in the quarter. And our backlog grew to $14.9 billion as a result. Our first half book-to-bill stands at 1, which is right in line with our full year expectations. As we expected, we saw free cash flow usage in Q2, which was driven by a few items: inventory buildup as we ramp up production to meet higher planned deliveries. CapEx associated with the build of our new global assembly facility at the Toronto Pearson Airport. And the last, and I repeat last significant residual value guarantee payment related to our divested commercial aviation business. Looking at our debt and liquidity. In May, we saw S&P Global ratings upgrade our credit rating from B- to B with a stable outlook, citing solid execution, successful deleveraging efforts, backlog stability and effective management of supply chain risks as contributing factors. This upgrade comes on the heels of Moody’s upgrading our rating in April to B2 also with a stable outlook. Looking at our liquidity. Our available liquidity remains strong at $1.2 billion, which is in line with our targeted range of $1 billion to $1.5 billion, and our adjusted net leverage is down significantly to 4.5x from 6x just a year ago. As you can see, there continues to be clear improvements in our fundamentals. We are performing extremely well from an operational standpoint, and I am confident that this will continue in the second half. So let me now turn for a moment to the financial highlights for our second quarter. Our revenues were up 8% year-over-year, reaching $1.7 billion versus $1.6 billion last year. Our aircraft manufacturing and other revenues grew by $55 million, the result of 1 incremental delivery versus a year ago with 29 total deliveries in Q2 of this year. As I mentioned earlier, our aftermarket business also increased its revenues by an impressive 19% year-over-year. The $428 million in revenues underscores the high performance of this business and its continued growth. With our footprint expansion strategy completed last year, we are aggressively focused on continuing to gain market share of an expanding market. Turning to our profitability. Total adjusted EBITDA for the quarter was $275 million, representing an adjusted EBITDA margin of 16.4% and an impressive 350 basis point margin expansion over the same quarter last year. Our adjusted EBITDA margin growth continues to be underpinned by improving Global 7500 margins, growing our aftermarket business and reaping the benefits of both our cost reduction plan and strong ongoing cost management. Our adjusted EBIT totaled $190 million, up 84% versus the same period of last year. Our adjusted net income has also meaningfully improved to a gain of $80 million versus a loss of $38 million a year earlier. And our adjusted EPS came in at $0.72 for the quarter. In 2023, we have reached profitability levels where we have become structurally net income generative, and we expect to see continued growth in these metrics in the future. Moving to free cash flow. We had a net usage of $222 million in the quarter, which includes a nonrecurring payment of $104 million on residual value guarantees related to our formal commercial aviation business. This means that the core free cash flow usage for the quarter was $118 million, which was – which resulted from negative working capital for the quarter, mainly driven by an increase in inventories of $464 million. This was fully expected as we ramp up production in support of our higher planned deliveries. Following our first half results, we continue to expect our full year performance to be in line with the guidance we provided in February. Deliveries are on track for greater than 138. And while the supply chain does continue to be challenging, we remain very proactive on this front and have good visibility on the materials we need to meet our delivery targets. With 51 deliveries in the first half, we have greater than 87 deliveries to go with around two-thirds of those expected to be in the fourth quarter. Our unchanged delivery outlook and strong aftermarket performance in the first half continues to support the greater than $7.6 billion in top line, we expect for the year. Given our visibility on revenues as well as adjusted EBITDA margin performance so far this year, we are firmly on track to meet our 2023 adjusted EBITDA guidance of greater than $1.125 billion. Turning to free cash flow. We continue to expect to generate greater than $250 million of free cash flow for the full year. Our first half cash usage of $469 million was largely driven by inventory ramp-up for which we expect to see a significant release in the fourth quarter as we deliver the bulk of our remaining 2023 deliveries. Looking back on the first half of the year, I am pleased with how we have performed. There is clear progress being made towards our strategic objectives, and the entire management team is fully focused on continuing to deliver on our priorities.  With that, let me turn it back over to Francis to begin the Q&A. Francis?
Francis Richer de La Fleche: Thanks, Bart. I’d like to remind you that the Bombardier Investor Relations team is available following the call and in the coming days to answer any questions you may have. [Operator Instructions]  With that, we will open it up for questions. Operator?
Operator: Thank you, sir. [Operator Instructions] And your first question will be from Konark Gupta at Scotiabank. Please go ahead.
Konark Gupta: Thanks, operator. Good morning, everyone.
Éric Martel: Yes, good morning, Konark.
Konark Gupta: Morning. Just wanted to dig into the free cash flow. Like I understand the second quarter the kind of cash burn given the inventory and the one-time payments and those things. For the second half, free cash flow, you guys are kind of pointing at $700 million plus in two quarters, and that’s a big number. Should we expect the split between Q3 and Q4 to be in line with the delivery care one-thirds in Q3 and two-thirds in Q4?
Éric Martel: The delivery case?
Konark Gupta: The delivery case.
Éric Martel: I am going to start, Bart it may come to you. So clearly, we are planning a lot of deliveries in the next second half of the year. Our guidance is greater than 138. We’ve delivered 51 so far. So if you do the math and that explains the inventory increase because we’re going to be delivering 87 – greater than 87 in the second half. If you look at – I don’t think we were usually guiding on quarter-to-quarter on the delivery. But clearly, we see that path of 87 airplanes. These airplanes today are in our factory, mostly built, getting ready to deliver. So we have a line of sight for those delivery. That’s why we feel pretty confident about our greater than 138. We feel pretty confident about our guidance for the year in terms of cash and EBITDA and everything. So we have line of sight for all of that. So that’s how we are foreseeing during the second half of the year in terms of delivery with a bigger number of airplanes, of course, being delivered in Q4 versus Q3.
Bart Demosky: Yes. And Konark, just to add to Éric’s comments, if you think about the cash that was used here in the second quarter, we had an inventory build of almost $500 million, and we had a one-time residual value guarantee payment of $100 million. So those two items involve are $600 million of cash, and we’re going to release a lot of that inventory build in the fourth quarter with the deliveries that we’re going to be making. So we today have, we think, very clear view to meeting our free cash flow guidance for the year.
Konark Gupta: Okay. Thaks for that. And if I can just quickly follow-up on the cash position. So you guys have about $900 million cash right now and then the cash – free cash flow in the second half, you probably will be adding the full year maybe around 1.5, 1.6 cash position. Is there some of that cash that you can earmark for voluntary debt repayment?
Éric Martel: Yes. Konark, great question. So in addition to the cash that you mentioned and you’re quite right, we also have our $300 million committed revolver available to us. So we’ve got liquidity at the end of the quarter of $1.2 billion. And you’re right, we do expect, obviously, cash to build in the fourth quarter and have greater liquidity at that time. So we’ve been very consistent, I think, in our messaging that when we have excess free cash available to us, which just means something greater than probably $1.5 billion we will look to use that cash to retire debt. I can’t say for certain today whether that will be the case. But certainly, with the math, you just presented, there could very well be an opportunity for some debt retirement later this year, early into next year.
Konark Gupta: Great. Thanks for the time.
Éric Martel: Okay, thank you, Konark.
Operator: Next question will be from Fadi Chamoun at BMO. Please go ahead.
Fadi Chamoun: Yes. Good morning. I wanted to ask a question on the backlog and the outlook for second half because you are tracking to 1.1, I guess, in the first half year with just over 50 orders, but you need basically somewhere in the 140 orders for the year to be full year. So it feels like a big potential draw from the backlog in the second half. Obviously, as you deliver is – like how are you feeling about the market and the pipeline of opportunities that you see out there to be able to meet kind of that type of ramp-up in the second half in terms of both still. I mean, I guess, on the orders side of things ramping up from the first orders in the first half to 140 basically for the year?
Éric Martel: Good morning, Fadi. That’s great question. Of course, I would say, I’d start by talking in Q3 right now. We still see a good level of activity. So Q3, as you know, traditionally is always a slower quarter, but despite that, right now, we have a good level of activity in Q3, which keeps us strongly believing in our one-to-one backlog for the year. And Q4 is traditionally a huge quarter, and we have a lot of things that we have line of sight. I mentioned earlier that the defense business, we’ve been ramping up. So we are getting ready to execute. I’ve mentioned fleet operator also. And I think we – Bombardier have kind of a competitive advantage there. The fleet operator are the big winner of what happened in the last 3 years. And I’ve mentioned earlier, 51% more flying hours and compared to ‘19 and 14% compared to last year. So they’re still growing. They still need airplanes. They still need more airplanes, and we Bombardier are extremely well positioned. So there’ll be the traditional order intake, I would say that we foresee in the next two quarters, which will come from our traditional customer, but they will always also be huge potential on the fleet operator and huge potential on the defense business.
Fadi Chamoun: Okay. That’s great. Maybe a quick one on the margin. I mean you’re tracking about 135 basis points higher margin than what’s kind of implied in the guidance for the full year from the first half. I guess there’s some positive mix because of the kind of deliveries versus the strong performance on services. But in the second half, you’ve got puts and takes as well with maybe more volume and the mix going towards manufacturing, but how are you feeling about kind those puts and takes like does H2 margin kind of look similar to what we saw in the first half or if you have any feedback on that would be great.
Bart Demosky: Yes. Thanks, Fadi. It’s Bart here. So look, first off, I have to say and I have to tip my hat to the team. We had remarkable profitability in the second quarter with that 37% adjusted – increase in EBIT – adjusted EBITDA for the year and $275 million of adjusted EBITDA. So that did give us 16.4%. We don’t – we look at our guidance on a full year basis, and we’ve reiterated that we’re very confident in achieving our guidance for the year of more than $1.25 billion of adjusted EBITDA. You’re right, there’s always in every quarter going to be some shifts in mix that will impact the margin for that quarter. But as I said, we’re very confident in achieving the guidance that we’ve put out there. You’re right, that might mean a little bit of a different margin number for the back half of the year, but right in line with our full year guidance. So we’re excited about how we’re positioned.
Fadi Chamoun: Okay. 
Bart Demosky: Okay. Thanks, Fadi.
Operator: Next question will be from Noah Poponak at Goldman Sachs. Please go ahead.
Noah Poponak: Hey, good morning, everybody. 
Éric Martel: Good morning.
Noah Poponak: How are you thinking about managing where you take run rate deliveries and manufacturing revenue relative to the backlog and relative to run rate bookings, right? Because the bookings got really strong, went well above the revenue run rate and now the bookings are normalizing. They’re kind of settling into the revenue run rate, but you’re going to take revenue higher. So do you look at it that way? And how does that tie into how far out the backlog extends relative to where you want it? How do you think about managing that?
Éric Martel: I can maybe give it a start, and you can continue with that Bart. But I think that we were looking at it. I’ve always said we will be always extremely disciplined at managing the backlog length. That’s how I’m looking at it. So – and with the team here. So basically, as I said, we have 18 to 24 months of backlog with $14.9 billion overall. And I think that this is what we need to preserve. That’s why we’re – our target is to have a book-to-bill greater than 1 in recognizing some rate increase right now and more deliveries moving forward as we guided for our 2025 number. So today, with the backlog we have, looking at the order activity on the market, we feel pretty good about having the ability to raise our rate to the level we mentioned for 2025. So – and that’s happening right now, okay, into this year. That’s why we have used some cash flow this year. As you can see, we’re going to have a lot of deliveries in the next two quarters, which we feel pretty good because we have line of sight. But again, we’re on a growing path, and we feel that the market, especially for Bombardier, with our positioning, unique positioning with – we have in defense right now. With the fleet operator, we feel that the one greater than 1 is quite achievable with the rate we are foreseeing in the future. So we want to preserve that backlog. The level of activity needs to be aligned. But right now, what we see out there, and I’m talking about even short-term right now for Q3, we feel pretty good about these longer-term objectives and getting there. That’s how we’re looking into that. I don’t Bart, if you…
Bart Demosky: No, that’s exactly [indiscernible].
Noah Poponak: Appreciate that. And then, Bart, you alluded to the – that large inventory build number in the quarter, and I could see that relative to the delivery profile shape for the year. What are you assuming for total net change in working capital in the free cash flow guidance for the year? And then how do you expect that to evolve next year and as we work towards your 2025 targets, given you’ll – you’re still going to be growing and who knows when supply chain will be completely resolved? Just trying to hone in on that part of the free cash flow build up.
Bart Demosky: Yes. Thanks, Noah. So I’ll reiterate that today, we’re confident in achieving our full year free cash flow guidance of greater than $250 million. So with the delivery profile that Éric spoke about earlier, we’re expecting a lot of release of inventory in the fourth quarter, and that will contribute to our free cash flow profile for the year. We haven’t put out guidance for next year. So it’s a little bit early to talk about what we expect. But I think you know that what we’re trying to achieve as a company is a neutral working capital position over time. And we do that through how we structure progress payments and how we manage our inventories throughout the year. So you should expect us to continue with that as our strategy around working capital.
Noah Poponak: Is that net-zero the assumption in the greater than $250 million for this year? Or do you have a true...
Bart Demosky: Pretty close Yes, pretty close.
Noah Poponak: Okay. Okay. Alright.
Éric Martel: Okay. Thanks, Noah.
Bart Demosky: Thanks, Noah.
Operator: Next question will be from Walter Spracklin of RBC Capital Markets. Please go ahead.
Walter Spracklin: Thanks very much. Good morning, everyone one. 
Éric Martel: Good morning, Walter.
Walter Spracklin: Congrats on a solid quarter here. I want to turn back to services revenue. And I think when you adjusted and increased your 2025 guidance, you elected not to increase your services revenue at that time for ‘25, but I think that was more of a postponement due to organizational change as opposed to your expectation that it will maintain – to maintain your guide. So rather than focus on whether you’re going to increase your guide or not, let’s assume that you’re trending above right now, what would get you to $2 billion. So you’re trending above that by 2025. My question is, are you seeing a faster ramp-up to 50% addressable market? Or are you seeing 50%, you’re just getting much higher pricing on that on the 50% you’re servicing?
Éric Martel: I can say that so far, it’s a bit of a combination of both. I think pricing has been robust, but also it’s the level of activity. The market size, we’re growing our market share, but at the same time in parallel to that, the market has been growing. I was just mentioning the number of flight hours, which is a leading indicator for us in looking at our revenue upstream. And as I mentioned, just the fleet operator is an example, with 51% and more hours than they were like 3 years ago, that’s increasing long-term the market we’re going to be tapping in. And the market share is heading into about what we thought it will be. So our goal remains 50%. Markets could be bigger. That’s one thing we need to assess in the next few months. And – but we still today feel pretty good about our $2 billion. As you can see, we’ve been averaging run rate over $400 million right now for the last couple of quarters. So we need to reach 500 million before ‘25, and we still feel pretty good about that.
Walter Spracklin: Okay. So the 50% that you’re targeting is effectively just needing more maintenance than what you perhaps had in your projections Okay. The second question here is on your line rate. Now you are increasing your line rate, right, because you’re delivering a lot more aircraft in the back half than you were in the back half of the last year. My question is, is this an official line rate increase that will carry over? Or are you looking at this more as a temporary seasonal timing type of thing that you kind of just – some of it just got pushed into the back half? Or are you now okay, let’s increase our line rate in the back half and let’s keep those line rates going as we go into 2025, that would suggest obviously some – a nice increase next year as opposed to more of a seasonal temporary thing that may or may not lead to a sizable increase for next year?
Éric Martel: That’s a great question, Walter. But as you increase rate, there’s a bit of a stack up that happened. So we’re going to be materializing some of it. So I don’t think we should do like say we’re going to deliver 87 airplanes and then we should deliver the double of that next year. That’s not what we’re proposing. So we – I think we’re sticking to our guidance right now of greater than 150, I think, for 2025. So that’s what we still have in mind. Product mix is evolving also. But I think – so now it’s going to – we’re going to have an interesting quarter, but we’re still sticking to our commitment and views on 2025. And we’ll see what the market gives us, and we’ll adjust accordingly. But so far, it’s been tracking well.
Walter Spracklin: That’s fantastic. Again, congrats on a great quarter. Thank you.
Éric Martel: Thank you.
Bart Demosky: Thanks, Walter.
Operator: Next question will be from Benoit Poirier at Desjardins Bank. Please go ahead.
Benoit Poirier: Yes. Thank you very much and good morning, everyone.
Éric Martel: [Foreign Language]
Benoit Poirier: Yes. Just to come back on the strong aftermarket performance. You mentioned great color about the fleet operators that is up over 50% versus 2009. Obviously, you have good exposure to fleet operators. They are gaining market share, and they tend to fly quite a lot. So, I was curious if you could share how much do fleet operators fly on average versus the Fortune 500 and healthy individuals. And I was wondering, at the same time, if the acquisition of Flying Colors by Flexjet, how does it change the aftermarket dynamics?
Éric Martel: Good. I think I will probably let Flexjet comment on the acquisition, if it’s going to change the dynamic. But I know for a fact that they mainly made that acquisition for their own needs. And I think they are a growing platform. We have been a partner of Flexjet for years. And what’s interesting about fleet operator, Benoit, right now is that they are flying a lot more. And first, they need more capacity. And at the same time, they still need to have replacement also. Some of the airplanes are starting to age. And the fact that we have been around for a long time, so we are well positioned also to replace some of the airplanes they need to replace, but also there is a growing demand. So, the fleet operator are very important and how well positioned we are. And again, they are the big winner of the last 3 years. So, clearly there is a nice path for us, and we are staying close to these guys. Our airplane have the reputation of being the most reliable, performing extremely well and being cost efficient also, which is something important when these fleet operators are considering what they are going to be buying for the future. I don’t know, Bart, if you want to add?
Bart Demosky: Yes. Benoit, just one thing to add because you had an important point in your question there and that’s the number of hours that fleet operators will fly their aircraft versus, I will call it, more traditional customers. And fleet operators, we are seeing aircraft flying more in the 1,000-plus hours per year, which is probably around 3x what a more traditional customer like a Fortune 500 customer. So, with our significant position and partnerships with the fleet operators, that positions us very well in terms of growing our aftermarket business to support all that additional flying time of the fleet operators.
Benoit Poirier: Okay. That’s great color. And just for the follow-up, you announced a recent partnership with GDMS to offer the solution for the Canadian government. So, any update about the timing, whether the government will open up a full tender bidding process for the aircraft?
Éric Martel: I am sure you have heard that, Benoit, there has been a bit of a cabinet reshuffle just last week. So, of course we will need to explain our capabilities, I would say, again, I think to the new minister that are in place right now, mainly in defense and procurement, which we are aiming to do. But I have to tell you, this has been evolving quite a bit, I think over the last couple of months. I think people now understand more and more. There was a lot of things that people raise, which, in my mind, were on through like, do we have a fully interoperable solution? The answer is yes. Our partner is GDMS. They are already the provider on the CP-140 [ph], and they are interoperable. So, our solution will be completely interoperable with the highlight. So, that’s question number one. The other one about timing, can we deliver, so as I look at the procurement today, the way it’s actually on the Internet side still, the sequence of event, we can deliver a solution for 2032, which is what they are claiming and asking for today, even before we could, okay. But today, that’s what procurement is asking, and we feel comfortable that we can do that. The other question that people were raising is our capability to do it. So, I don’t know. I haven’t had any expert today that – or no expert that has the knowledge to come and assess our capability. If we go through an RFP, I would be welcoming any expert that can come and try to assess Bombardier. We know at Bombardier that we can do it, okay. I have all the experts in place. We modified over the years structurally and aerodynamically 500 airplanes that are flying today. So, either is to install, modify the structure or the arrow for installing in [indiscernible] and installing telecommunication equipment or a radar or all kind of things. We know how to do it, and we have the right partner with GDMS to do it. So, I would say that in our mind, the best way to evaluate our capability, we will answer the RFP and will be with open book, and we will see who wins. But we feel pretty good and we would be proud to protect our border with a Canadian product made here as we are one of the only country in the world that can build airplane and design airplanes.
Benoit Poirier: Perfect. Thank you for this.
Éric Martel: Thank you.
Operator: Next question will be from Seth Seifman at JPMorgan. Please go ahead.
Seth Seifman: Hey. Thanks very much, and good morning and good results. I wanted to ask about the fleet operators and the – I guess do you make – do you distinguish between kind of fractionals and other types of fleet operators. When we look at the flight hour data or takeoffs and landings, the fractionals seem like they are still doing quite well and very much consistent with what you are talking about, maybe charter operators, there seems to be more pressure there, and that’s where some of the decline year-on-year in operations come from. So, I am wondering if you kind of distinguish at all between what you are seeing from different types of fleet operators.
Éric Martel: So, I think if you look at every single Bombardier airplane, the 5,000 airplanes that we have out there, if you look at the flying hours, it’s of course, way ahead of what it was in ‘19 and still either equal or slightly better than last year. So, we still see growth, but the big portion of the growth here comes from the fleet operator. So, yes, we have seen it. Charter has slowed down a bit, but the fleet operator are really carrying the load of all these type of traveling today. So, you see the take-off, departure, flying hours, all going into a very positive territory. So, we have seen charter normalizing probably, but we have seen the fleet operators still growing.
Seth Seifman: Okay. Great. Thanks. And then maybe just as a real quick follow-up. Éric, I don’t know if you can expand maybe a little bit on the comment you made earlier about, I think flexibility with regard to – I think it was with regard to the demand environment, and it might be a little bit slow earlier this morning. But just was there anything specific that you were looking to point to there? Was that in terms of a type of demand shift that you are thinking about that might be ahead that you might be pivoting to look to serve?
Éric Martel: I think the comment was more related to the fact that we do have the agility and the flexibility within Bombardier to move things around fairly quickly if the demand is shifting towards either bigger or smaller plane, more challenger, more global or vice versa, so that we have that ability to adjust and read the market hopefully ahead of when it’s happening. But we are monitoring that demand, and we will be adjusting like we do foresee right now, some potential with the fleet operator. We do see some potential with the defense business. So, all this to say that we are going to be making the right decision as soon as possible to reflect that, okay, depending on what they want to buy and the different model. But – you have to think about it this way. So, we see the trends today being strong on defense. We see the trend being strong on fleet operator. And also by region, I have mentioned APAC earlier, we can talk about the Middle East. So clearly, there is things that we need to have the flexibility and agility to adjust as it is evolving.
Seth Seifman: That’s fine. Thanks. That’s very helpful.
Éric Martel: Thank you so much.
Operator: Next question will be from Tim James at TD Securities. Please go ahead.
Tim James: Thanks very much. Good morning everyone. Congratulations on a strong quarter here. I am just wondering if you could talk about your view regarding the ability of pricing strength that you are seeing in the market on new orders and the ability to use that or for that to be sufficient to offset inflationary costs. And I know in the past, you have talked about them being kind of offsetting factors more or less. I am just wondering if you – as you look forward, do you see either one of those the growth slowing, inflation coming down more quickly than pricing on new sales or the other way around? If you can just talk about maybe the spread as you see it over the next year or 2 years?
Bart Demosky: Yes. Thanks Tim and good morning. So, I wish I had a perfect crystal ball to be able to tell all of that. But not having that, what we can say is that we have seen quite stable pricing so far this year. In fact, if we think of it in terms of internally, the way we look at it, pricing is at or a little bit above our internal budget. So, we see a continued robust pricing environment, which is very good, materially higher than where aircraft prices were a few years ago. Obviously, inflation has been creeping up as well, which does mean it impacts the margins overall. But our view longer term has not changed. And the way we model it is basically a stable margin environment throughout time. We have, as a company, been very successful in implementing small engineering and continuous improvements on the production line through our Bombardier operational excellence operating model, and that has helped us, and we expect it will continue to help us to offset inflation. So, at a minimum, we see stable margins and perhaps over time, we can work to improve on that.
Tim James: Okay. Great. Thank you, Bart. My second question, thinking longer term here, investment requirements, CapEx requirements for the business, you have laid out sort of your guidance or expectations through the middle of the decade. Could you comment or provide an update if there is one on your thought about the next platform reinvestment, the timing of that, where that money could go? And just any thoughts on that, and I guess with a view to the competitive environment as well.
Éric Martel: I think the way I see it, and we see it as a team today is, first of all, our first criteria will be our – the discipline to manage our balance sheet properly, okay. So, we already gave you some indication of our performance in 2025 about how much cash flow we would be generating, which will put us in a better position afterwards for an investment. So, in terms of timing, of course the first condition will be the health of our balance sheet, our ability to generate cash flow and finance these type of projects, so that’s number one. The second one is the dynamic on the market right now. Our portfolio right now is selling extremely well across the board, all platforms with no pressure right now from the competition also because we all need to assess what our competitors are doing. And we feel that the customers are pretty happy with our offering today. So, we feel no pressure. Yes, of course, eventually in our industry, if we want to be the one replacing some of the installed base we have and keeping a product that is competitive, we will have to make that kind of investment. It’s not just about delivering a number of airplanes. It’s also about either protecting or growing the installed base we have because that’s important after that for all the revenue we can generate from either services or the CPO business or use also those platforms in defense. So, I guess we are in no rush. I don’t feel any platform right now that are going to outperform us that are even in their mind right now of our competitor. So, we feel that we have a flagship positioning with the 7500. We are the only ones still in service. We have even a response right now with our 8,000 coming in 2 years. So, we are in a very good place. The 3500 is selling extremely well, actually gaining market share still, the 650 still selling. So, we are – I have no pressure and no reason to say today we need to rush an investment.
Tim James: Great. Thanks…
Éric Martel: Thank you. Operator, we are going to have time for one last question.
Operator: Certainly sir. Next question will be from Cameron Doerksen at National Bank Financial.
Cameron Doerksen: Yes. Thanks very much. Good morning. Just to the free cash flow for 2023, I mean obviously, it’s going to be heavily weighted to Q4. But are you able to say if you expect free cash flow would be positive in Q3? I mean the reason why I ask is that I just want to make sure there is no, I guess market surprises by the free cash flow number in Q3. So, do you expect that to be positive in Q3?
Bart Demosky: Hi Cameron, it’s Bart here. So, we don’t provide quarterly free cash flow guidance. What I can say and just reiterate is we are very comfortable with our full year guidance of greater than $250 million for the year. And I think we have tried to be very clear in terms of explaining how that comes about with inventory build in the first half and then inventory release in the second half, particularly in the fourth quarter. So again, just to reiterate, we are comfortable with our greater than $250 million guidance for the year.
Cameron Doerksen: Okay. That’s fair enough. And maybe a question for Eric, just on the supply chain, I mean you guys have done a very good job of managing supply chain challenge that the whole industry is seeing. I just wonder if you can talk about where you are still seeing some challenges where the bottlenecks potentially are. Is there anything out there that’s still a concern for you?
Éric Martel: No, I think you are right to highlight that the team – my team has done an excellent job at managing the supply. Last year, we actually beated our guidance, which was not the case across the industry, same thing is repeating, is still is repeating itself this year with us being comfortable. As I said, we have line of sight on every single airplane one-by-one to deliver between year-end and we are comfortable. I think where I see some pressure points still is at the Tier 2 or Tier 3 level, the Tier 1, of course are impacted by that. But overall, I think they have been able to ramp up. They have been able to set themselves up. But sometimes, we still have Tier 2 or Tier 3 supplier, but I think we have seen less of that. So, I think there is clearly a path of this, but we are in an environment where the entire industry is going to be ramping up. So, that puts pressure. But at the same time, I can see – I can still say that if I look at where we were a year ago, overall, I think the supply chain is in a better position. But still, as I always like to tell my team, you need all the parts to build the airplane, deliver the airplane. So, even if you have less that are challenging. But I think our view and methodology about being as proactive. And the other thing we like to see here is we like as much as visibility ahead, which is always helpful because it’s easier to fix a problem that is going to hit you in 12 months than the problem that’s going to hit you in 12 hours. So, we are trying to look forward as much as possible, and it’s been our strategy and it’s been paying off very nicely so far.
Cameron Doerksen: Okay. That sounds great. Thanks very much.
Éric Martel: Thank you, Cam.
Bart Demosky: Thanks Cameron.
Operator: At this time, I would like to turn the call over to Éric Martel for closing remarks.
Éric Martel: So, thank you all for joining us today. Our industry is dynamic and is always evolving. And with that in mind, I would like to mention that the Bombardier team always appreciate the meaningful exchanges we have on the quarterly basis with all those on this call as we come together to put headwinds and tailwinds into the right context. To all of those listening as well, thank you for your continued interest in Bombardier. We are working to set ourselves apart in the industry, not just in terms of our superior product performance and service quality, we are aiming higher in terms of being people-centric, delivering on our commitment and performing steadily and predictably. In our – as our Q2 results have shown, all the ingredients are coming together and on track. Thank you all for your time today. And I hope everyone can enjoy a safe and restful summer holiday period.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your line.